Operator: Good morning and thank you for standing by. Welcome to Abbott’s Fourth Quarter 2014 Earnings conference call. All participants will be able to listen only until the question and answer portion of this call. [Operator Instructions] This call is being recorded by Abbott. With the exception of any participant’s questions asked during the question-and-answer session, the entire call, including the question-and-answer session, is material copyrighted by Abbott. It cannot be recorded or rebroadcast without Abbott’s express written permission. I would now like to introduce Mr. Brian Yoor, Vice President, Investor Relations.
Brian Yoor: Okay, good morning and thank you for joining us. With me today are Miles White, Chairman of the Board and Chief Executive Officer; and Tom Freyman, Executive Vice President, Finance and Chief Financial Officer. Miles will provide opening remarks and Tom and I will discuss our performance in more detail. Following our comments, Miles, Tom and I will take your questions. Before we get started, some statements made today may be forward-looking for purposes of the Private Securities Litigation Reform Act of 1995, including the expected financial results for 2014. Abbott cautions that these forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from those indicated in the forward-looking statements. Economic, competitive, governmental, technological and other factors that may affect Abbott’s operations are discussed in Item 1(a), Risk Factors to our annual report on Securities and Exchange Commission Form 10-K for the year ended December 31, 2013. Abbott undertakes no obligation to release publicly any revisions to forward-looking statements as a result of subsequent events or developments as except required by law. Note that financial results from the developed markets branded, generics, pharmaceuticals and animal health businesses are reported as discontinued operations due to the pending sale of these businesses. As a result, the line items of our consolidated statement of earnings are reported as continuing operations or excluding the results of these two businesses. To help facilitate year-over-year comparisons we filed an 8-K on Tuesday of this week that provides historical results from Abbott's continuing operations for the first three quarters of 2014. In addition, our 2015 guidance provided today for sales, P&L line items and earnings per share is for continuing operations only. In today's conference call as in the past, non-GAAP financial measures will be used to help investors understand Abbott’s ongoing business performance. These non-GAAP financial measures are reconciled with the comparable GAAP financial measures in our earnings news release and regulatory filings from today, which will be available on our website at abbott.com. Our commentary on sales growth refers to operational sales growth, which excludes the impact of foreign exchange unless otherwise noted. With that, I will now turn the call over to Miles.
Miles White: Okay, thanks Brian, good morning. Today I'll discuss our results for the fourth quarter of 2014, but in particular our outlook for 2015. We made good progress against our objectives last year and we see good positive underlying momentum in our businesses going into 2015. However, as you know, recent macroeconomic events have dominated the discussion on company outlooks for 2015 in particular the significant strengthening of the dollar against almost every currency during the fourth quarter of 2014 and in the 2015, as well as the impact of the draconian price of oil on the global economic outlook. These factors will affect the 2015 forecast for most multinational companies, including Abbott, but while many are focused on the negative aspects of these events, I'd note that they will impact countries and companies in different ways. Abbott will clearly face some headwinds, while emerging markets currencies have devalued, however underlying fundamental growth remained strong. In fact countries such as India and China where Abbott has a strong presence will benefit economically from the lower price of oil and while the weakening of the euro impacts our European based revenue the fluctuations of this particular currency will not impact our bottom line as a result of our European cost base and this should provide some durability to our result. So while I'll discuss currency in more detail when I review our 2015 outlook, the bulk of my remarks here will address what we control our commercial and operational execution, our new product introductions and our efforts to reduce costs and expand margins. So for the full year 2014 we delivered operational sales growth of 5.5% including acquisitions. Sales growth rates improved sequentially each quarter last year as we expected and sales in emerging markets increased nearly 13%. We expended both growth and operating margins and achieved adjusted earnings per share of $2.28 including results related to the established pharmaceutical developed markets business. This exceeded our guidance range and represents year-over-year adjusted EPS growth of more than 13%. During the year, we continued to build Abbott's investment identity as a durable and reliable growth company following a number of actions we took last year, were broader and deeper in emerging markets and were more consumer facing. In short, we are more present were the growth in healthcare is taking place now and will be over the long term. In established pharmaceuticals we further positioned a division for faster growth. We added CFR Pharmaceuticals which provides the scale manufacturing, R&D and product portfolio to establish Abbott as a top-10 pharma company in Latin America. We acquired Veropharm positioning Abbott as a top five branded generic company in Russia. Both CFR and Veropharm provide Abbott with in-country manufacturing to bring us closer to our customers as well as better match our cost with our sales and currency in those regions. And we're on track to close on the sale of the EPD developed markets business in the first quarter, our business that performed above expectations in 2014 and is well positioned to move forward with Mylan. Last year in our nutrition business we increased our local presence by investing in our global infrastructures. We opened three new manufacturing plants in China, India, and the U.S. and we partnered with world's largest dairy co-operative Fonterra to invest locally in China's milk supply. These investments are a reflection of the strong underlying demand for our high quality adult and pediatric products. In Medical Devices we positioned our portfolio for stronger growth over the long term. We entered a $3 billion fast growing electrophysiology market through the acquisition of Topera. In vascular we achieved improved reimbursement and coverage from MitraClip in the U.S. which should further expand adoption and we presented the first of multiple randomized clinical trials underway for ABSORB. In medical optics, we broke ground on a new facility in Malaysia to expand manufacturing capacity for our cataract lenses driven by strong global demand for cataract surgeries. And in diabetes care we established a new market with our Flash glucose monitoring device FreeStyle Libre launched directly to consumers in Europe last fall. It eliminates the need for routine fingersticks and provides glucose data in a simple format that allows people with diabetes to achieve better health outcomes. In diagnostics we delivered another year of mid-to-high single-digit growth well balanced across both the developed world and emerging markets. And in Europe we introduced our IRIDICA testing system what we believe will be a breakthrough in the infectious disease area. We're entering 2015 with good momentum. The fundamentals of our business are strong and the growing trends across our markets remain positive. The innovations we're launching are driving share gains and we're investing in our businesses to drive above market growth over the long term. We expect to step up in our 2015 sales growth rate the high single-digit operational growth, including acquisitions with emerging markets expected to contribute another year of double-digits performance. From a currency perspective we expect around 6% negative impact to sales from foreign exchange. This is roughly double the impact we had expected just three months ago and is in line with what a number of other companies and analysts have forecasted as part of their outlooks for 2015. Currency is a headwind that's impacting all multinationals and our assumption for this impact has been incorporated into our 2015 adjusted earnings-per-share guidance from continued operations of $2.10 to $2.20 a share reflecting top tier growth at the midpoint of the range. Strong business performance and growth in operating margin expansion have and will continue to help offset even these more pronounced currency impacts in 2015. At the same time, we need to continue to invest in our businesses to drive sustainable long-term growth. And in 2015 I'm optimistic about our prospects. In nutrition, our R&D organization has been the most productive it has ever been launching multiple products over the last several years. In 2014 in China this included two new infant formula products, Eleva and Similac QINTI in new market segments. We expect continued momentum in 2015 including our new Ensure product in China which is the first product introduced in the newly established Adult Nutrition category in this country. We're also building our brand in India. Local R&D manufacturing and supply chains are fully established. We recently rolled out our first line of simple products produced in our new state-of-the-art facility. Margin improvement remains a key priority for our nutrition business and we expanded its operating margin by several hundred basis points each of the last two years. Our original target was to reach 20% of sales by 2015 and we exceed that goal in 2014. Going forward we expect further margin expansion in this business. In Established Pharmaceuticals we're continuing to improve our commercial execution by strengthening our capabilities in key geographies and channel, expanding our product portfolios through innovation that's both fast and locally driven and driving awareness of our Abbott brand with consumers who are taking even greater role and making decisions about their healthcare. We're also strengthening our local scale and infrastructure through the integration of CFR Pharmaceuticals and Veropharm. Both of these acquisitions enhance our local market insights, knowhow and our commercial capabilities as well as help build out our portfolios in our core therapeutic areas. And finally as I mentioned, we anticipate closing on the sale of our developed markets business to Mylan in the first quarter. We will receive 110 million shares of Mylan stock which provides us with significant optionality given our strong balance sheet and ability to redeploy the net proceeds from the ultimate sale of Mylan shares. In medical devices, we're investing in a number of new products across diabetes care, vascular and medical optics. The medical optics and our cataract business a steady stream of new products over the last two years has resulted in several points of share gains. In 2015 we expect continued strong growth of our cataract business driven by more than 20 new product launches across multiple geographies as well as continued expansion of our laser cataract system CATALYS. In vascular, we're continuing to drive uptake of our new products, MitraClip, Supera and Absorb as well as our newest drug-eluting stent XIENCE Alpine launched in the U.S. and recently approved in Japan. In diabetes care we'll expand FreeStyle Libre into multiple new markets over time targeting more than $8 billion global blood glucose monitoring markets. Strong patient awareness has exceeded our initial expectations based on our direct-to-patient sales model. We are already executing on our capacity expansion and we're looking to secure broader reimbursement for Libre. And finally, diagnostics, which remains one of our most durable and reliable growth businesses, consistently delivering mid-to-high single-digit operational sales growth the past four years. We will continue to execute on our commercial strategy and core laboratory diagnostics in both developed and developing markets. We are also investing simultaneously in the development of next-generation system platforms in blood screening, immunoassay, clinical chemistry, hematology, molecular diagnostics and point-of-care. Margin improvement in diagnostics once again exceeded our expectations increasing nearly 100 basis points versus 2013. Our gross margin improvement initiatives are continuing to yield results and we expect continued steady margin expansion in this business. So to summarize, as we enter 2015 we expect a step up in full year 2015 operational sales growth into the high single-digit with double-digit growth in emerging markets and we expect continued growth in operating margin expansion as we execute on our division improvement programs and back office support initiatives. While we anticipate currency to be a more significant headwind this year, than in 2014, the long term fundamentals of our business are healthy and we remain committed to increasing returns to shareholders. In addition to our dividend and share repurchase activity our strong balance sheet and additional flexibility from the Mylan transaction provide us with a significant opportunity to invest in strategic growth opportunities to continue to shape Abbott for long term durable growth. I'll now turn the call over to Tom and Brian to discuss 2014 results in more detail and our 2015 outlook. Tom?
Tom Freyman: Thanks Miles. Before I review our financial performance and outlook I'd like to remind you that my remarks today regarding 2014 earnings per share will include the contributions from the developed markets, branded, generics business that we agreed to sell to Mylan and the animal health business that we've agreed to sell to Zoetis. Both of these transactions are expect to close in the first quarter of 2015. This basis of comparison is consistent with the adjusted EPS guidance we've provided in our folder. All of my comments for sales and other P&L line items this quarter and also our 2015 forecast will be for continuing operations only and that is excluding the businesses being sold. Today, we reported fourth quarter earnings per share excluding specified items of $0.71 above our previous guidance range due to the full year effect of the U.S. tax legislation enacted in December including the R&D tax credit for 2014. Adjusted EPS from continuing operations increased 29% in the fourth quarter. We saw strong operational sales growth and increasing sales momentum in the fourth quarter. Sales from continuing operations increased 10.2% on an operational basis in the quarter which include the impact on our recent CFR Pharmaceuticals and Veropharm acquisitions. Operational sales excluding these acquisitions increased 6.5% in the quarter. The product sales increased 5.6% in the quarter including an impact of 4.6% from foreign exchange. The negative impact of foreign exchange on sales is almost twice as high as the estimates we provided in October reflecting strengthening in the U.S. dollar versus almost every currency during the quarter. Operational sales growth was driven by strong performance in nutrition diagnostics and established pharmaceuticals. Own company sales in emerging markets increased strong double-digitss on an operational basis in the quarter. fourth quarter adjusted gross margin ration was 56.9% of sales ahead of our previous guidance reflecting underlying gross margin improvements across the businesses as well as the impact of the weaker euro on our manufacturing cost base. Adjusted SG&A expenses 29.5% of sales and adjusted R&D investment was 6.4% of sales. The fourth quarter adjusted tax rate was below our previous forecast due entirely for the inclusion of the full year impact of the U.S. tax legislation enacted in December as I mentioned earlier. Overall as we look at 2014 we delivered a strong EPS growth above our initial guidance range and up more than 13% versus the prior year. Adjusted EPS from continuing operations grew 21%. We continue to make significant progress in our margin improvement initiatives spanning our full year adjusted operation margins in continuing operations by 200 basis points. And importantly we exited the year with strong underlying momentum as we head into 2015. As I turn to our outlook for 2015 I'd note that as detailed in our earnings release, in 2014 we achieved adjusted EPS from continuing operations $1.98. This was the new baseline against which we will be measuring EPS growth in 2015. As Miles indicated the recent strengthening of the U.S. dollar is negatively impacting our 2015 growth as it is from our multinational companies. Based on current exchange rates, the impact of foreign exchange on our sales will be even more pronounced in 2015 than it was last year with a negative impact on 2015 sales growth of around 6% compared to 2.5% for the full year 2014. Although the impact of currency will be significant in 2015, it is important to note that as I mentioned earlier we exited last year with strong underlying performance momentum. Our top line operational growth accelerated significantly in the second half of the year as expected and we continue to make substantial progress on our margin expansion initiatives. Importantly the underlying trends across the key geographies and healthcare segments in which we compete remain positive and attractive over the long term driven by improving access in healthcare and demographic trends that aligns our business. So despite recent currency dynamics we are well positioned to deliver strong EPS growth in 2015. So turning to the specifics of our outlook for the full year 2015 today we issued guidance for adjusted earnings per share for continuing operations of $2.10 to $2.20 which reflects the growth of around 8.5% over 2014. At current exchange rates currency would negatively impact 2015 EPS growth reflected in this guidance by around 10%. We forecast operational sales growth continuing operations in the high single-digit for the full year 2015. As noted, at current exchange rates we would expect negative impact of around 6% on our full year reported sales which will result in reported sales growth in the low single-digits for the full year 2015. Brian will provide more detail on the 2015 outlook by business in a few minutes. We forecast an adjusted gross margin ratio somewhat above 57% of sales for the full year 2015 reflecting more than 150 basis points of expansion driven by gross margin improvement initiatives across our businesses. I'll note that at current exchange rates the impact of foreign exchange on our gross margin ratio is expected to be relatively neutral in 2015 as the impact of exchange on sales will be largely offset by the benefit we will realize from the weaker euro on our European based manufacturing costs. We forecast adjusted R&D investment as a percent of sales consistent with 2014 level at around 6.5% of sales. And we forecast adjusted SG&A expense around 31% of sales for the full year as we end up some of savings from our efficiency programs and new products across our businesses to drive top line growth. Overall we expect to expand our full year adjusted operating margin by over 100 basis points in 2015 reflecting another year of significant margin expansion. We forecast interest expense of around $150 million up over 2014 due to a planned refinancing of a portion of our short term debt and expectation of higher U.S. short term interest rates impacting short term debt in the second half of the year and somewhat lower interest income as a result of the funding 2014 acquisitions. We forecast adjusted tax rate of 19% for the full year 2015 which is in line with the normalized 2014 rate excluding the effect of the U.S. tax legislation enacted in December. Our forecast does not assume reenactment of the U.S. R&D tax credit in 2015. Finally I'd like to review our outlook for the first quarter of 2015. For the first quarter, we forecast adjusted earnings per share from continuing operations of $0.41 to $0.43 which reflects growth of over 23% the midpoint of the range over adjusted EPS from continuing operations in the first quarter of 2014 up $0.34. This strong growth even in the line of currency headwinds is driven by strong underlying performance as well as favorable year-over-year comparisons due to certain items of reduced sales and earnings in the first quarter of last year, including the carry over effects of the 2013 supplier recall nutrition, the planning of a plant swept out in EPD to expand capacity and reimbursement changes affecting our U.S. diabetes business. For the second, third and fourth quarters, while we forecast strong underlying adjusted EPS growth this performance will be partially offset by the significant impact of foreign exchange on EPS growth in each quarter of the year. This will result in adjusted EPS growth in the mid or mid upper single-digits depending on the quarter over the last three quarter in 2015 as we work through the exchange headwinds that began in late 2014. Returning to our first quarter forecast, we project operational sales growth in the high single-digit in the current exchange rates we would expect a negative impact in exchange approaching 7% resulting in reported sales growth in the low single-digits. We forecast an adjusted gross margin ratio of somewhat about 57% of sales and adjusted SG&A expense somewhat about 34% of sales, consistent with a relatively higher ratio we typically experience in the first quarter and reflecting investments and growth initiatives. We forecast adjusted R&D investments of around 6.5% of sales, net interest expense of around $30 million and around $20 million of income in exchange gain of non-operating income line in the P&L. In summary, we delivered another year of strong adjusted EPS growth in 2014 exceeding our initial guidance range and exited the year with strong momentum including sequential improvements and operational sales growth each quarter of the year and significant operating margin expansion. This strong underlying performance and momentum positions us well to deliver durable growth in 2015 despite a challenging currency environment. Our 2015 outlook reflects top tier ongoing growth driven by high single-digit operational sales growth and continued operating margin expansion. And with that, I'll turn it over to Brian to review the business operating highlights and outlook.
Brian Yoor: All right. Thank you Tom. This morning I will review our fourth quarter 2014 performance and 2015 sales outlook by business. As I mentioned earlier, my comments will focus on operational sales growth. I will start with our nutrition business where global sales increased 9% in the fourth quarter. in our international pediatric nutrition business sales increased 14%. We continue to capture market share with new infant formula products including Similac QINTI and Eleva and which we launched in China during 2014 to further enhance competitive position in our role of end market segments. International adult nutrition sales increased 13% in the quarter representing the fifth consecutive quarter of double-digit sales growth in this business. As we continue to expand the adult nutrition category internationally. Earlier this month we launched our Ensure brand in China. Although we expect modest sales initially, the adult nutrition market in china represents a significant long-term growth opportunity for Abbott. The aging population is expected to growth to four times the size of the U.S. baby boomer population. In the United States pediatric nutrition sales were relatively flat in the quarter and in line with our expectations. As share gains in the non segment of the infant formula market will offset by lower sales in the weak segment. Adult nutrition sales in the U.S. were impacted by volume and rice dynamics in the institutional segment and by stockists in our pharmacy nutrition business. For the full year 2015 we will continue to focus on capturing market share with recently launched infant nutrition products and expanding the adult nutrition category internationally including developing a shape in the adult nutrition market in China. We are forecasting high single-digits growth on an operational basis in our global nutrition business with double-digits operational sales growth in international nutrition. For the first quarter we expect global nutrition business to deliver mid to high single-digit sales growth on an operational basis. In our diagnostics business sales increased 8.6% in the fourth quarter with sales in emerging markets growing double-digitss. Core laboratory diagnostic sales also increased 8.6%, with high single-digit growth in both the U.S. and internationally as we continue to build momentum with our commercial models. We are also expanding our testing menu in order to provide greater value to clinical laboratories and ultimately patients. In the first quarter, we received U.S. FDA clearance for the first fully automated Galectin-3 for use with our Architect platform. This test assist doctors in assessing the prognosis of people diagnosed with chronic heart failure. Additionally a study on our high sensitive troponin test previously launched on Architect generated new data that was recently published in the British Medical Journal. The study found that average test can precisely measure very low levels of troponin which may help doctors accurately diagnose twice as many heart attacks in women compared to standard troponin tests. In molecular diagnostics, sales increased 4.4% in the quarter. Our infectious disease business, which is our core focus and represents more than half of our molecular diagnostic sales, increased double-digitss in the quarter. This growth was partially offset by decline in the oncology and genetics businesses in the U.S. resulting from pricing and market channel dynamics. As Miles mentioned, in December we received European approval for IRIDICA infectious disease testing platform. IRIDICA is a first of its kind platform that more rapidly diagnosed serious infections, such as sepsis and pneumonia in clinically old patients and has the potential to lower associated healthcare costs by up to 30%. In point-of-care diagnostics, worldwide sales increased 14% as this business continues to build and expand its presence in targeted developed and emerging markets. The point-of-care business had a considerably strong fourth quarter in the U.S. due in part to customers ordering Abbott's i-STAT analyzers as part of their ebola preparedness activities. In addition, a major hospital network in the U.S. standardized its point-of-care testing around Abbott's market leading i-STAT platform which also contributed to strong growth in the fourth quarter. We expect another year of durable performance in our diagnostics business in 2015. But we continue to execute on our commercial model and core laboratory diagnostics, drive uptake of our new IRIDICA infectious disease platform and molecular diagnostics in Europe and increase market penetration with our point-of-care platforms. At the same time, we continue development of our next generation platforms across all three businesses. These systems are being designed to positively impact patient care, improved service to customers, enhanced laboratory productivity and reduced costs. For the full year 2015 we expect our global diagnostics business to generate operational growth that is similar to our performance in 2014. For the first quarter global diagnostics we're forecasting low to mid single-digit operational sales growth. In medical devices, we completed the acquisition of Topera in the fourth quarter. Topera provides Abbott with a foundational entry in the $3 billion fast growing electrophysiology markets. Its breakthrough technology can transform how physicians treat people with complex heart rhythm disorders. Our vascular business increased 1.7% in the quarter representing a sequential improvement versus the third quarter of 2014 and somewhat above our previous guidance. In our structural heart business we continue to see strong double-digits sales growth of MitraClip, our breakthrough technology for the treatment of mitral regurgitation. Our endovascular business also generated double-digits growth in the quarter driven by our Supera peripheral stent for the superficial femoral artery or SFA. In November, we presented long term Supera data that demonstrate a very strong freedom from target lesion revascularization rate of 94% at three years. In the first quarter we launched our new drug-eluting stent system XIENCE Alpine, in the US. XIENCE Alpine is the only drug-eluting stent with an indication to treat chronic total occlusions. We've recently received XIENCE Alpine regulatory approval in Japan and expect to launch in the next few months following reimbursement approval. We are also making regulatory progress with our bioresorbable vascular scaffold ABSORB, which we expect to submit for approval in the U.S., China and Japan by the end of this year. These three geographies represent more than 50% of the world's coronary stent market. For the full year and first quarter 2015 we expect sales in our global vascular business to increase modestly on an operational basis. In diabetes care, global sales in the fourth quarter were down mid single-digits in line with our expectations as the rate of decline in the U.S. is moderate following the U.S. reimbursement changes that were enacted in the middle of 2013. Outside the United States, we launched our revolutionary new glucose testing technology, FreeStyle Libre, direct to consumers. With the launch of FreeStyle Libre, we expect our global diabetes business to return to low single-digit growth on an operational basis in 2015. For the first quarter we're also forecasting low single-digits operational sales growth in our diabetes care business. In medical optics sales increased 3.6% in the fourth quarter and 8.5% for the full year. Sales of our cataract products which represent approximately 70% of our medical optics business increased high single-digits globally in the quarter. This growth is partially offset by market declines in the refracted and corneal segments of the medical optics business. In 2015 we look forward to multiple new product launches across a number of key geographies as well as continued penetration of our CATALYS laser cataract system. The first of these new products, our TECNIS multifocal Low Add premium intraocular lens, which provides more range of vision options to patients and surgeons will soon launch in the U.S. For the full year 2015 we expect our global medical optics business to grow mid to high single-digits on an operational basis with more to mid single-digit growth in the first quarter. And lastly, our established pharmaceuticals business, or EPD, where sales from continuing operations excluding the developed market branded generics pharmaceuticals business, increased strong double-digitss in the quarter. As Miles mentioned, we completed the acquisitions of CFR and Veropharm last year, but at the same time generated strong underlying performance from our EPD emerging market business. Excluding the sales contributions from acquisitions, organic sales increased nearly 9.5% in the quarter. This performance was driven by double-digitss sales growth across several emerging geographies including India, Russia and China. For the full year 2015 we expect continued strong double-digit growth in EPD on an operational basis including the impact of acquisitions as this business continues to expand product portfolios in key therapeutic areas, implements new branding initiatives across the portfolio, and increases its focus on marketing to the pharmacy channels. Excluding the contributions from our acquisitions made in 2014 we expect high single-digit operational sales growth in EPD for the full year 2015. For the first quarter we're also forecasting strong double-digits growth in EPD on an operational basis including the impact of acquisitions. So in summary, we achieved our expectations in 2014. Sales growth improved sequentially every quarter this year. We exceeded our earnings per share expectations. We expanded our adjusted operating margin by 200 basis points and we completed several actions to continue to position Abbott for durable growth. As we look ahead to 2015, we are well positioned to deliver sequential improvement in operational sales growth and another year of top gear earning per share growth. We will now open the call for questions.
Operator: Thank you. [Operator Instructions] Our first question this morning is from Mike Weinstein from JPMorgan.
Michael Weinstein: Good morning and thanks for taking the questions guys. Let me touch maybe on two topics. So the first and Tom could you talk a little bit more about FX, the impact on 2015 and how should we think about your ability to manage through additional dollar strengthening going forward?
Tom Freyman: I pretty much covered that in my remarks. You know, we talked about 6% based on current rates on the top line and there's about 10% headwind on our earnings growth year-over-year. Historically as I have told you that follow us know within any one year we've done a pretty good job of managing through what I call normal fluctuations in currency and really it has not affected our performance against our expectations and going forward from this point, something in the major moves have happened. We would expect something similar in 2015. I think what everyone has seen in this season is that there are limits that there are major, major moves, but I'd say anything within the normal levels of fluctuations, we continue to do what we've done in the past.
Miles White: Mike, I would add to that. We may have an unusual mix of currencies relative to what multinationals, for us for example, the euro is not an impact because we just happen to have enough cost, manufacturing, and other things in Europe that it pretty much self hedges. So, as we look forward at the year, we're not more uncertain currencies might be to euro that won't affect us. We're pretty protected on that. And a rather back handed I guess bit a good fortune I don’t really accept the Rubel to impact us very much because it already did and it already impacted us pretty significantly in 2014. So when we look forward at the particular currencies that are most likely you know to be volatile or might have risk and I have no corner on crystal ball here to know what’s going to happen certainly no one would have projected any of things that happened this last year. I think that we are likely or possibly going to see volatility in FX we are in a pretty good position. And so we don’t anticipate it impacting us like a good thumb and we have already had the impact for PN and others and observe that and we are going to the year with a little bit of cushion and contingencies just in case. So I think we are probably in good places we have ever been in spite of how heavy headwind is of FX in general for all countries.
Michael Weinstein: The strategic question you exit 2014 with the underlying businesses in really good shape obviously not all pieces are doing as well as you would like, but not aggregate and it looks very strong, obviously a lot stronger than it did 12, 18 months ago. So what are the strategic priorities and in particularly in the context of your balance sheet and what is your balance sheet could like so that you monetize your mile to take over the next several months?
Miles White: Well I assume that course would come up at some point. My first priority is to get the deal closed and you may know that there are several concludes today, but we've had some really good news here in the last week in terms of your approval for the deal and so forth. So I expect to get that closed pretty quickly here. You know I don’t want to forecast where or what we might be looking at our considering. I do want to add that to business. I do want to add to the company in places where we either want to expand our footprint or can certainly expand the strength of our footprint you know that telegraphing where that might be, I mean as you know I don’t if telegraphs post things ahead a time and yet we have been pretty consistent at the kinds of things we are interested in. I think we got a lot of capacity and you know presuming that everything concludes properly here with our mile and transaction we have got a lot of flexibility and a lot of capacity and I think I want to make good strategic deals that are prudent. I think that a little more difficulty these days. It's not difficult to be prudent. It's difficult to find a lot of good opportunities and if it fit a lot of price tags up there have very ambitious expectation and I don’t think it has rich robust and emanating environment as we see in other years. But having said that I would like to still see plenty of opportunities for us to expand and add to the business and just question of right timing, right receptivity on the other side, great values, and finance some overlap. The good news is I think you want to really add to a sound foundation. And you know, sometimes if you do MNA to patch you know something that’s not working in the core of the company then they will always work that well and we have a lot of disintegration to get through here separating from ABT pretty much concluded get in close. We have got the same thing where we can work through on the EPD develop market business. You know your organization ready for the integration of whatever you have made do have a bigger or small it may be and I think we are in a good place were the underlying performance where all the businesses is really good. You are right there is places that I would rather see better commercial performance, but overall very stable and some organization have the other task and distractions pretty much concluded so we could not be more ready and position better with good strong balance sheet. Having said that I know it does not give you any sort of indication of where, what, and when etc, but we are obviously looking something.
Michael Weinstein: And Mile a comment about targets ideally with the cash you are going to have outside the U.S. in the balance sheet as an ideal target would be outside the U.S. and other low shortage of target for you outside the US do you see opportunities there?
Miles White: I see a lot of targets outside the US. A lot of them have a very high valuation and expectations that are you know I think a little unrealistic in some cases, but you know on the grand scheme of things that is just negotiation. I think there is a lot of I think the external next to the U.S. is in a fashion not quite target rich, but there is a lot of that can be done to expand our business and our presence in a number of key countries. I don’t rule out the U.S. I think that there is still opportunity in U.S. it's just a lot more selective and obviously financially speaking it’s a lot easier to build cash that’s outside the U.S., where there is a going to be a lot of and that’s a lot easier. You know under today’s tax regimen so it's more -- probably a more attractive environment and a lot of our monitoring and you know hunting if you will is outside the U.S. The good news is we have been in these countries outside the U.S. a long time. And we know them reasonably well. You know a lot of cases the kinds of businesses that we are interested in outside the US or family owner or family sponsored a little different environment in the U.S. or European markets, but we are comfortable there. We are comfortable navigating there. We have had a fair amount of experience there and that is a plus, plus. I think during the last couple of years we have been accomplish some pretty unique and unusual acquisitions I think it was pretty unusual particularly given that we were well into it when the Ukraine issues happened and made it more difficult and I would say, I would path CFO for us to go and back here for having the presence of mind to do this deal in Rubles. So we were not exposed to exchange on that particular deal. I think it’s a fabulous deal for us long term in Russia and that’s an important market for us and we anticipated that we did not wish for and the evaluation of Rubles we were prepared for it. So I think there is a number of places where there is opportunities for outside the U.S., but there aren’t necessarily that’s is visible to U.S. investors or U.S. analysts I know you know that, but there is a lot out there that enhances what we are trying to do with the business and what we believe the growth opportunities are where we can leverage the already existing infrastructure we have.
Michael Weinstein: Perfect. Thank you. Mile. I will let some others jump in.
Operator: Thank you our next question is from Kristen Stewart from Deutsche Bank.
Kristen Stewart: Hi. Thanks for taking the question. If we could just focus on the margins and the underlying performance, what stands out the most to me is just the guidance in terms of the EPS being up 8.5% at the midpoint despite a 10% FX head wind. Can you maybe just walk through the confidence in the underlying margin expansion, and then also just touch on the fourth-quarter gross margin because that came in much better than we were anticipating.
Miles White: I’ll make a couple of comments about it Kristen. I’ll hand it over to Tom for little more color here. First of all I think we got, we had a head start here, because with the separation of FB as we have said in past calls we took a very comprehensive look at our G&A costs and our underlying costs in manufacturing and other things across the company and we have initiatives in all of our divisions pointed at that for some time and we have had some very good success with improvement of costs and improvement of expenses in the company in a variety of ways. And I highlighted nutrition and diagnostics as to that standout where we have tremendous improvement in underlying cost structure. The unfortunate thing is that given the exchange rates that multinational have experienced from on and so forth some of that has been chewed up or at least that improvement in our costs and expense structure has protected us from erosion from exchange and it continues to. Ideally we want to keep improving those costs overtime, which we believe we can, but the biggest costs we have had, has been exchanged and I don’t think that you do see in the top line. The good news is in a lot of cases we have cost structure and our expense structure distributed among the countries where we have the high sales and profit and so it does offset to some degree the impact of exchange on the sales line. And what we will see is when it hurts the sales line it improves the gross margin. It is just offsetting so part of the improvement that you have seen in our gross margin is being in the right places when exchange so that we can mitigate the impact on our profits and we got a big head start on that two years ago when we splint. So we have been well prepared to sort of observe what's happening and it would have been our intent to have much higher earnings but in fact it has observed the impact and kept as a performance level that’s really good, but we could have hoped for more had it not been for that. Tom do you want to give some more color on that.
Tom Freyman: I’ll just add a couple of things recall when we announced the ETD develop market transaction, we said that the underlying growth have rate of ABT was about 2% better on a continuing operations basis and once before so certainly that is giving a little more rooms to our growth than what you might have expected. I think the other thing and it’s a really all about the manufacturing margin, there are gross margin that Miles alluded to. The last two years we have had relatively flat gross margin and what we have been saying is that has been in spite of the really strong costs improvement programs Miles talked about because the currency was hurting our gross margin, but that was because the year was strong and that was keeping our costs for that particular large manufacturing cost base up pretty high. But now the year was moving with the other currencies and the real benefit of the real actions in our manufacturing plants and our operations people are really starting to show through the gross margin now that the Euro is matching where the other currencies are going in direction line. So I think those are a couple of differences that really are the bases for our relatively stronger EPS growth rate in '15 than you might be seeing from other companies.
Miles White: Make no mistake. If weren’t all of us facing some of the currency headwinds earnings would be even stronger.
Kristen Stewart: And I guess just in light of all the portfolio moves how do you look at longer-term growth? Do you feel very well positioned in the mid to high single digit and it certainly sounds like double-digit EPS growth forecast?
Miles White: Well its always our intent to be in that range and do better and I feel pretty good about that, I say this would caution because I would not have predicted the things that happened in the latter half of the year in 2014 and I don’t think there is many people that would have predicted what happened in 2014 toward the end of the year either in what happened with the price of oil, what happened with interest rates, what happened with exchange rates, etcetera. so that’s it all things be equal.
Tom Freyman: Yes I expect that we can maintain healthy high single digit sales growth rate and double digit bottom line growth rate that’s our intense, that’s are goal, we think that’s kind of identity and expectations of a company and so every year at every LRP, every long range plan is sort of built around the expectation of maintenance of that and we have always got sort of long term view of where we believe those growth and share opportunities are. And I say so far so good I don’t see any reason to accept less.
Kristen Stewart: And just to clarify you said high single digit sales or mid to high.
Miles White: Mid to high. To be clear. I am always pushing for more in reality today mid is pretty good and I can remember when mid was a disaster and today mid looks pretty good and I guess if the market, the world, all of us are doing well then everything looks good, but I think we target that range. If we steadily or in that mid to high range we are going to be targeting high. And if we are steadily in the high range we are going to be targeting double. It's going to be always wanting to do a little better than may be a lot better than what the market gives you.
Kristen Stewart: Prefect. Thanks very much.
Operator: And our next question is from David Roman from Goldman Sachs.
David Roman: Thank you. Good morning everybody. I wanted to start on the U.S. as obviously markets outside the United States were very strong for you in the quarter. But maybe you could just talk a little bit broadly about your U.S. franchises, particularly in the context of what looks to have been a better operating environment domestically, whether it's what we are seeing out of the hospitals or some of the other volume-related companies. How do you think about the evolution of your US franchise in 2015 and beyond?
Miles White: I think the U.S. first of all very important market, it's such a big market. It's our largest market and three of our major business are large and important here. And one the established pharmaceutical business is not here at all in U.S. I would say it's interesting to me, most shareholders and analyst that I listen to today or hear from will tell me the US is better relative to what. I don’t think that the health care environment or health care products companies in the U.S. are that much better to be honest. I don’t think it’s a robust market. I think it’s a reaction to the kind of sudden volatility that lot of companies have experienced outside the U.S. and we tend to like predictability in this country and we tend to like our predictability in quarterly doses. But I look at the market for long term and I think what the U.S. is a health market, it’s important for products, but I don’t consider it in our businesses a particularly robust growth market and that means as we look at the U.S. our expectations to be in good single digit range and remain profitable and health here, but the real growth even this volatile market a worldwide is outside the U.S. For I think for health care products, for pharmaceuticals, for devices, for the products that were in I think the growth rates are much better outside the US, we just have to navigate the volatility of that means. And in that case there is probably 15 countries around the world may be 20 depending on what company you are that are important in varying degrees as growth opportunities market development opportunities etc and if those economies are developing or recovering as the case may be, I think the underlying fundamentals of growth of those market succeed the U.S. That doesn’t mean the U.S. is best. I think the U.S. is better than it has been, but it has not been particularly good, so better is easy, it's a little hurdle and while we say the U.S. is more solid today, I think the U.S. today is in certainly a growth market it’s just a lot more stable and predictable than a lot of markets around the world. Do you guys want to add to that?
Tom Freyman: No I’ll just say, even as we look at 2015, where in currency side again we are looking growth rates you know 2 to 3 4X what the US is and it underscores minus points that’s where the growth is, but we do see improvements in some of our U.S. businesses in 2015. Diagnostics is continued to be a pretty good performance relative to the lower growth market and you ADC is now moving better into better territory and we do ask them to new product activity in vascular which can help you grow-up from slow growth market and things like MitraClip and Supera, and XIENCE Alpine are going to help us do a little better in that business in 2015. But the relative growth rate I just tackle with what Mile said there is no comparison and that’s why we have pursued and invested more in these higher growth markets.
Miles White: I’ll say what is coming in the US and its frankly is a good for any company around the world in any country, but here in the U.S. you are not going to get a lot of tailwind growth. So you better be prepared to innovate and slug it up for share. And you got to look it at that way that you got win, you got to be the competitor, you cannot just take a tailwind. We got keep improving our products and got to keep putting up better products and gain our share that way. The thing I am heartened by is when I look across all of our business in the vision in their R&D pipeline and the products that are bringing whether are incremental innovation or may be substantial innovation like Libre in our diabetes care business they are really good products and they really will make a difference and they really will drive share gain and growth. That actually I look forward to as a real positive here for the next two to five years as we keep bringing out more and more new products. It keeps us and makes us more competitive in markets like the US. Frankly the reverse side of that is in markets where you got a tailwind of growth. You tend be a sharp in terms of competitiveness because you are getting that tailwind growth and it’s actually a health for us to be both ways and we will get the benefit of our new products and new innovations in all markets.
David Roman: Okay, that's a helpful perspective. Maybe just a follow-up on some of the questions around M&A and strategic vision here. I think the language that you have used in the past couple calls is looking at Reshape Abbott in 2014 was obviously a busy year in that regard. Can you maybe give us some more perspective on Reshape Abbott into what? What is the long-term vision here given all the moving parts? Are we looking at this as a four-legged stool for a sustainable period of time? Is the mix of business one that makes sense? Ultimately when you are done with that reshaping, what do you want Abbott to look like?
Miles White: I want the foundation we have got. I like the four legged that we have that we want to describe on this four legs. We talked off and on from time to time about whether something is truly a fifth leg or whether a leg four current structure for example. A lot of people would not necessarily see the brand and generic pharmaceutical business than they are efficient business as related, but truthfully oversees they go through all the same channel, they go through the same wholesales, they go through the same retail outlet, they go through the same pharmaceutical or pharmacies and so forth. And so they are spreading they are very consumer facing in the markets and targets we focused on and so there is a lot of call it brand synergy and customer synergy and consumer synergy among them. So those are plusses for us. And we are not in - although than non nutrition business and in a way our brand of generic business we are not fully in the OTC business. But I will use it as a wide example, because, if someone brings me in a opportunity here that say, look, it’s got this - by the way, it’s got OTC, which is rejected with the OTC. Well you know I wouldn’t in some countries. Does that mean I'm looking for that in order to try to compete with P&G in the U.S., no, I'm not, but if in a country like India, where the overlap of OTX, OTC branded generic Pharma and nutrition is such, that that was a extension opportunity, it would strategically fit really well with our infrastructure in India. So I would say kind of the pen, and I think we’re much stronger when we can add to businesses we already know and already understand the operating models and know how we can leverage both the business, the brands infrastructure et cetera, much like we are -- we see it far in Latin America. I want to be cautious not to roll out opportunities that I think are long term expansions for us. I look at medical optics. When we made that acquisition number of years ago, well there was some criticism that -- gee, that's far afield for you. It isn’t, it’s not a nice strong growth drive for us what I would add to it, I would. If I see the right opportunities, and the right circumstances, so I think the related businesses here, they all have a couple of things in common. They are all in growing markets. They are all innovation driven. They are all durable. They are durable in terms of growth rates and I compare that to the funnel business that we used to be. Pharma it’s a fabulous business. If you get all the way to the finish line and launch the product, and it’s a risky business, it’s a science so risky with pharmaceuticals. And so it’s a different business model. Without the pharmaceutical business that particular pharmaceutical business which has been tremendously successful separate from Abbott, we are more of a durable growth company. A lot of people would interpret durable a number of different ways. I think at least mid to high single digit growth I think it’s not particularly volatile in terms of patterns exploration and so forth although it might benefit from IPU like our wise business doing. But it’s got a certain stability to it but also growth and innovation driven. And I think that the long term identity of Abbott has been to be growth, to be relatively reliable to be real growth and to return cash et cetera to shareholders as it grows. And that’s been the identity of the company for a long time. I think the mix of countries and products that were in delivers that identity without a lot of harsh volatility. And I think an example would be the environment we’re in right now. If we can weather 2014 and 2015 with what’s happening in the world economies and in the world markets and so forth, and deliver the results we’re delivering, I think we are absolutely living up to the identity of a very reliable durable profitable growth company. And that’s what this mix of business is, a mix of geographies does. And I think it’s a bit of unique that way. But I think that’s the intent of what we are trying to do whether there is room for a fifth or sixth leg in there, I think it depends. And I think we take our opportunities as they come, we know what we’re good at, we know what we’re not good at or don’t know about. If we’re looking at some acquisition, or business to add to the company, my first question is, can we add to it? And so we do better because it’s in our hand and I think that’s a critical threshold for us to hold ourselves to as we invest shareholder money.
David Roman: Thank you. I appreciate all the perspective and congrats on a good quarter and first start to 2015.
Operator: Thank you. Our next question is from David Lewis from Morgan Stanley.
David Lewis: Good morning. I just want to come back to guidance for a quick second. I think the numbers were largely in line with many expectations. But the revenue outlook has been, I think, more bullish this morning. And I think the stock is reacting to that. Either for Miles or Tom or Brian, thinking about this year, if you can get acceleration, you have more difficult comps versus 2014 as the business improved in the back half of 2014. We talked a lot about emerging market currency but there may be emerging market weakness investors are concerned about. So, the first question is just what provides the confidence that you can get that incremental acceleration and be very confident in that revenue number? Is it products, is it specific segments? And where does that momentum reside that even in the face of EM and the face of strengthening comps you feel pretty confident that you can deliver this top-line number. And then I have a quick follow up.
Miles Whit: Let me give a couple of comments and I'll hand it back to Brian and Tom to add. There is a number of moving parts here. The first thing that I would say is, we look at the underlying growth of the businesses, some of them are very strong, stronger than you might see, some countries have stabilized and turned more positive - India as an example when it has last year. So there is some underlying strengths here that comes from a variety of sources, number one. Number two, and there is still somewhat I like to see do better. Number two, there is the lapping of various events or uneven miss in the quarterly reporting. So for example, you recall last year in the first half of the year we were lapping a recall from the prior year which surpassed the first and second quarter of 2014, which enhances the comparison for 2015. So we’ve got some of that up and down in here as well. We have the launch of some new products. We have two acquisitions in here that weren’t there before that particularly effect the last half of the year CFR and Veropharm. There will be two subtractions from the company which will also effect that quarter-over-quarter comparison established from developed market business will be out of the mix. So when you change the mix of the pieces and the growth rates of the various pieces, when it all comes together, it actually looks like what we forecasted and makes sense. It’s just there is a lot of moving parts and I think it probably is not that easy for investors to tease those apart, put them back together and so what it all will -- and I'm very confident in it.
Brian Yoor: David, this is Brian. And I would say, just as like foreign exchange, I think what’s going on in the companies, definitely in different ways. You take for example what’s going in with respect to the price of oil. There were actually countries who benefit from this and you see that pass all the way down through their GDP and also way to the consumer. And as Miles talked about being a more consumer base company, clearly this has planned out very nicely in the countries for example of China and India who are net importers of oil, we are seeing very good performance by our nutrition business particularly with the launch of the products Similac QINTI that I referenced, as well as Eleva. Recall, we just turned on promotion there towards the end of 2014 and I would add that China as well, we’ve not only recovered to baseline, we’ve gone beyond share. So for all signs pointing positive there.
Miles Whit: David let me add one more thing to it. Clearly under the circumstances in the last four weeks when so many companies have identified the currency risk that everybody is feeling and the currency hit that everybody feeling and the oil sand that many are feeling and the impact of that on tertiary markets and so forth. A lot of people are necessarily to report that’s it going to impact their business. And with all that different business, in that environment I would have to say it’s tempting to reset the bar lower. We look at that and said no, we are not going to reset our bar lower, it’s not because it’s hard for us to stretch to do it, if you want to be transparently reliable growth company as we are and we are already dealing with, always adjusting educating our investors about the variety of emerging markets when and so forth. I think it is important for us to be true of what we are going to do and this is what we think we’re going to do. I mean there was a temptation that, buy a little conservatism here, and estimate lower and beat. We may bit anyway but I didn’t want to take that opportunities to set lower so I'm confident in these numbers, I'm confident in the earnings projection, I think our mix is different than others, I think as I pointed out earlier, we are just not vulnerable to the euro and a lot of companies are. And based on the forecast there, I don’t have the same issues. So our earnings turn out where they are.
David Lewis: Okay. Just one quick question. I am loathe to ask another balance sheet M&A question but I am just going to ask it and hate myself the rest of the week. Miles, one of the hallmarks of how you approached M&A was to basically fix exposure. You have obviously had this nutritional asset, which is great exposure. You've increased your exposure to the part of the pharmaceutical business that you want and decreased your exposure to the part you didn't want. I wonder if you can talk about the consumer more broadly. Is getting access or getting exposure to the consumer, or steam, or something we could expect out of the company in coming quarters and years?
Miles White: Yes, but for reasons different than just exposure to the consumer, I would say we've intentionally wanted to change the mix of the company to outsource sales and profit etcetera that wasn’t necessarily as reliant on government reimbursement. We wanted a greater mix of patient pay or consumer pay and I would rather ride with the consumer markets than ride with the volatility of say Europe where it's heavily, heavily reimbursement driven and given the economic issues that most European countries in the EU faces, you are at the whim of the next stroke of the pen to cut prices. So wanted a different mix and we wanted a different geographic mix, we wanted a different balance in how much we're reliant on payers, how much we're reliant on government and how much we're reliant on the consumer or the patient themselves. So that drove some of the choice around geography and/or business areas that we believe make up a durable growth company. We also find that the predictable growth in profitability of countries that are -- or businesses that are more patient pay is frankly more reliable than those that at least for us are susceptible to reimbursement cuts etcetera. So it doesn’t mean we don't want to in countries that are reimbursement driven, we do. It's a matter of balance. It's a matter of mix. It's a matter of timing have it but not too much.
Brian Yoor: Okay. We'll have time for one more question operator please.
Operator: Thank you. Our final question today is from Larry Biegelsen from Wells Fargo.
Larry Biegelsen: Good morning. Thanks for fitting me in. Just a couple quick clarification questions for Tom, and then one product-related question from Miles. On EPS, I just wanted to confirm, the FX hit, the 10 percentage point hit. So, at the midpoint constant currency would be about 235, Tom?
Tom Freyman: Yes 10% of our $0.20, so that's part right Larry.
Larry Biegelsen: And then the contribution from acquisitions implied in the high single-digit constant currency growth for 2015, we have about 4%.
Tom Freyman: Closer to 3.5% Larry.
Larry Biegelsen: 3.5%. Okay. And that includes, that's net of divestitures, Tom?
Larry Biegelsen: Divestitures are already out of the numbers because of our continuing operation. So that should be comparable between the years.
Larry Biegelsen: Got it. Then just lastly for me, Miles, on Libre, if you could talk about your excitement for that product, how big you think it can be, and your long-term strategy in atrial fibrillation, a new market for you. I am sure people would be interested to hear your long-term strategy there. Thanks.
Miles White: Okay. First of all on Libre, I am excited about the product. I think it's a great innovation a great product. I think we've had really good customer response and I guess our challenge right now is capacity expansion. And I would say that's the limiting factor for us quicker, faster, sooner than we expected and so the organizations kept the blow torch going to expand capacity because I think that product particularly as word of mouth spreads among patients is going to be very strong. I am frustrated with the pace of regulatory approval in the U.S., but nevertheless right now we know the capacity anyways. So it's open to a really good reception in Europe and I expect it's going to be a real positive product for us in that sector. On the electrophysiology front I don't want to create higher expectations there because everybody is going to tell me we're entering land of the giants and so forth. I think it's a great segment. I think there is a lot of opportunity for advancement of technology there to make a real and improved impact on the treatment of the patient. People see it as a $3 billion market today. I think it's going to be a bigger market a much bigger market over time and I think there is a lot of room for technology innovation there. We've invested in not only to play but a number of other companies from an equity standpoint to bring along and we have a long term view of how we want to play in that market which I don't want to detail here. But we're going to take a run at it and see what can be accomplished there.
Larry Biegelsen: Thanks for taking the questions, guys. Thank you, operator and thank you all for your questions and that concludes Abbott's conference call. A replay of this call will be available after 11:00 AM Central Time today on Abbott’s Investor Relations website at www.abbottinvestor.com and after 11:00 AM Central Time via telephone at 203-369-0489 pass code 5311. The audio replay will be available until 04:00 PM Central Time on Thursday, February 12. Thank you for joining us today.
Operator: Thank you and this does conclude today’s conference. You may disconnect at this time.